Operator: Ladies and gentlemen, good day, and welcome to the Wipro Limited Q4 FY '21 Quarterly Investor Conference Call. [Operator Instructions] Please note that this conference is being recorded. I now hand the conference over to Ms. Aparna Iyer, Vice President and Corporate Treasurer. Thank you, and over to you.
Aparna Iyer: Thank you, Stanford. A very warm welcome to our Q4 Earnings Call. We will begin the call with the business highlights and overview by Thierry Delaporte, our CEO and Managing Director; followed by financial overview by our CFO, Jatin Dalal. Afterwards, the operator will open the bridge for Q&A with our management team. Before Thierry starts, let me draw your attention to the fact that during the call, we may make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act 1995. These statements are based on management's current expectations and are associated with uncertainties and risks, which may cause the actual results to differ materially from those expected. The uncertainties and risk factors are explained in our detailed filings with SEC. Wipro does not undertake any obligation to update the forward-looking statements to reflect the events and circumstances after the date of filing. The conference call will be archived, and a transcript will be made available on our Web site. Over to you, Thierry.
Thierry Delaporte: Aparna, thank you. Good morning or good evening everyone and thank you for joining us today. It's definitely good to be able to speak to you again this quarter. I hope you have been staying safe. Perhaps some of you may now be vaccinated but if not, I really hope you have access to the vaccine too. In fact, talking about that, I'm happy to share that for our colleagues based in India, we will be organizing vaccination camps in our campuses as per the guidelines set by the government. And we will reimburse the cost of vaccination for not just our employees but their families as well. So much needed relief in a tough year for everyone around the world. But thanks to the grit and perseverance of our entire team, we are stronger and more resilient than ever before. As you would have seen our Q4 performance was built on top of a momentum we saw in the last quarter. We have reported a solid growth in revenues, [KLC] [ph] order bookings and frankly, great execution resulting in robust margins. This sets the stage for the next quarter and the next financial year as well. Now, let me give you some more details on the results, right, let's start with the revenue. Our revenue growth during the quarter was 3.9% in reporting terms and 3% on constant currency terms, which is at the top quartile of our guidance range. I'm very pleased to tell you that this is the best fourth quarter results we have reported in the last 10 years. This was led by a good volume growth and despite the steep decline in the first quarter of the fiscal year, because of the pandemic, we bounced back, finished the year with, I would say only a marginal decline of 1.4% year-on-year. Now let's look at the demand. The demand environment right now is robust. And our overall pipeline is pretty healthy. In fact, our total contract value of order booking in the second half H2 ‘21 grew by 33% year-on-year that is the highest total TCV we've ever reported. You may ask what has led to this performance, first of all, I would say there's an increased activity in the market that we have leveraged very well. But secondly, our numbers reflect the large deals we've been able to close. We have closed 12 large deals, resulting in a TCV of USD 1.4 billion. This TCV includes a mega deal that we closed during the quarter in our Americas market which can, should lead to revenue of over $1 billion over the deal duration. I previously talked about how M&A is going to be an integral part of our business strategy. And you'll see that in the last two quarters, we've announced acquisitions across several key markets, including the U.S., Europe, Latin America, Australia, India. These acquisitions have strengthened our local presence and our service offerings. During the quarter, we've also announced our largest ever acquisition capital Capco. This acquisition of Capco will strengthen very significantly our position in the global financial services market, it's very clear, we are quite excited to onboard some exceptional domain experts and leadership talent in that space. We remain hopeful of closing this transaction as early as possible. We also you will have seen that announced the acquisition of Ampion an Australian based provider of cybersecurity, DevOps and quality engineering services. This acquisition will definitely expand our footprint in Australia and accelerate our growth in the Asia Pac region. Our strategic mergers and acquisitions over the years have created a vibrant new age and diverse community of talent around the world. Some of you may have noticed that on April 1, 2021, we retired some of our individual acquired brands and we united seven such previous acquisitions thereby truly integrating it, we wanted the one brand, one identity and one mindset and ambition that now allows all of us to go-to-market as one Wipro. The fourth point is our margin, our operating margin during the quarter was 21%. It's a 340 basis points increase year-over-year. Our operating metrics have shown consistent improvement with utilization and offshoring being at its highest ever. I'm pleased to share that now we released as promised salary increments and promotions covering approximately 80% of our employees effective January 1, 2021. We are pleased with our rigor and execution which has also resulted in operating margin of 20.3% for the full year, an expansion of 200 basis points in the financial year. Now what speaks of our focus is that we completed Q4 in an entirely new operating model. This was in fact, first quarter under the new organization structure that if you remember I had announced in November '20. So essentially, we undertook the biggest ever transformation of the company and so little to no disruption in our market focus. Our results that are out, change takes time but I'm pleased to share that we are now well settled in the new ways of working with the spotlight firmly on our customer needs. There is now a new cadre of leadership that has joined the existing executive team. All key positions have been filled. I'm really proud to say that my senior team is truly diverse and brings to Wipro, the kind of inclusive leadership that is not so typical of our industry. But it's imperative that we build local talent and improve ethnic and gender diversity. Of course, a lot more needs to be done, but I want to take a moment to note the progress we've made. Now, let me add some color to the underlying business performance. All our numbers are in constant currency for ease of reference. Important to note there is significant traction across all our markets, which means our growth is broad based and therefore sustainable. In America, we grew 3.5% sequentially, with most of the sectors showing strong growth. Our deal closures will provide a certain platform for next year. In Americas too, we grow 4% sequentially. That led by a surge in volumes. The demand in the BFSI sector is strong across all service offerings, the manufacturing business is recovering, while our energy and utility business is likely to remain slightly volatile. Our European markets have delivered a sequential growth of 3.7% on the back of several large deals that we've had through the year. United Kingdom and Ireland, Benelux, Germany grew collectively by 5.6% sequentially. Finally, our APMEA markets declined slightly but frankly that’s due to a conscious exit in some of the low quality businesses in the Middle East market. But what I want to highlight is that all the other regions collectively have grown by 3.6% sequentially. Now, looking at our global business lines, the IDF global business line which constitutes applications, data and engineering, grew by 2.1%, quarter-over-quarter. This was led by a greater demand for service offerings and digital experience and data and engineering services. Our other global business line iCORE grew by 4.3% quarter-over-quarter with all three service offerings. That is to say, digital operations platform, cloud infrastructure services and our security practice growing well. Another indicator of how broad based our growth was is to note that our top customers, our top five, top 10 customers now grow well ahead of the overall company. Now, let me give you a sense of the kind of deals we are winning. That also gives you a picture of the current business landscape. One of the best examples is what we already announced, the five year deal with Telefónica O2, which was signed in February '21. As we look at our customers buying patterns, this truly represents a lot of what we are seeing across industries. And I will illustrate it through showing assets. One, almost all customers believe that now is the time for radical renovation of the IT environment. While there are many strategies and approaches to a top to bottom overhaul of the IT estate, the goals are similar to significantly change the speed, the efficiency, the cost, the effectiveness of how IT support business growth, innovation and customer experience. Wipro is very well positioned to serve customers across this spectrum of IT transformation. Second, cloud is at the center of customer conversations. Cloud is in fact, becoming the computing platform for large percentage of infrastructure and applications in the future. Whether the conversation is focused on cloud migration or cloud native applications, multi-hybrid public or private cloud customer are seeking Wipro partnership in cloud to help them shift their operating models as well as innovating across the enterprise value chain. Third, we are co-investing business value and outcomes for our customers, demonstrating our long-term commitment to them while supporting their funding model. As deals become more integrated, transformational and require greater innovation across the ecosystem, we expect more conversations in this area. Another deal that we have won with [indiscernible] is a European mapping and location data company that has selected Wipro to partner in their cloud and digital transformation journey. As part of that engagements, we probably set up next-gen hybrid cloud operation centers and big futuristic apps in the mapping domain. We will leverage our home's AI robotics platform to enable a fully agile and DevOps organization, improving productivity and enhancing user experience for the customer. And finally, on to our outlook for the next quarter, we have guided for a revenue growth of 2% to 4%, outside of Capco and Ampion. This will translate into a year-on-year double-digit growth of 11% to 13% for this quarter. This guidance reflects the environment we are operating in no doubt, our increased focus on the market and our improved execution rigor. We recognize that we are competing for quality talent and we are fully prepared to lead the war for good talent. We are investing in building talent at scale. We have implemented several interventions to retain diverse talent as well. In parallel, measures are in place to ensure the supply chain does not slow down our pace of growth. This includes, but it's not limited to one promotion cycles across [indiscernible]. Two, skill based differentiated bonus and third the roll out of the much deserved salary increases for our senior colleagues in June '21. Our margins in Q1 will reflect this investment for growth. To summarize, I would say that we are pleased with the current business momentum. And the optimistic and we are optimistic about strengthening that momentum going into the new financial year. All our key markets are growing on a year-on-year basis. And that's the solid foundation we are starting FY '22 on. It's final but a very important point that I must make today is on the [indiscernible] that Wipro has been passionately practicing for the last 10 years that our business should not be detached from the evolving climate crisis. So I want you to know that our growth ambition fully incorporates all the decarbonisation efforts and builds on our ESG roadmap. In the coming days, you will see us make some significant announcement on these fronts, more on that later. But now let me hand it over to Jatin for his comments on the financials. Jatin, over to you.
Jatin Dalal: Thanks a lot Thierry and good morning, good evening to all of you who are joining our earnings call. Once again, a great pleasure for us to host you. Let me give a summary of our performance. As Thierry spoke about, we delivered our quarter four in the top quartile of our guidance range at 3%. In reported terms, this was 3.9% sequential. And this comes on the back of two good quarters where we delivered in quarter three a 3% sequential -- 3.4% sequential growth and before that 2%. So overall we are tracking a good trajectory as we complete this financial year. Our operating margin in quarter four was 21%, which is compared to 17.6% of quarter four of last year was 340 basis points up. We feel quite well about the kind of execution that we were able to achieve in quarter four and deliver this operating margin. We delivered for the full year 20.3% operating margin for IT services. And this was a 220 basis point expansion for the full year. I'd speak about ETR. For the full year, our ETR was 21.8%, the ETR was lower in quarter four because of couple of tax matters getting settled and we got some upsides on that. But we delivered 21.8% of ETR in quarter -- in the full year of '21 compared to 20.2 of fiscal 2020. Resultant our net income for the full year grew 11% and our EPS growth for FY '21 was 14.6% Y-o-Y. Let me speak a little bit about ForEx. We were able to achieve a healthy realization of 73.83 for every dollar in quarter four. As we ended the year we had about $3.2 billion of ForEx hedges, of which about $450 million were hedges for certain capital investments we have made in our subsidiaries and are not for the normal inflows for our sales proceeds. So, from that perspective, we remain in the range -- our historical range of $2.6 billion to $2.8 billion. But, as I said, we have topped it up with certain capital protection hedges that we have executed in quarter four. Let me think about cash flow. In quarter four, our cash flows, while a little lower, as you know, our DSOs are significantly better in quarter three. They go up slightly in quarter four, typically, in the beginning of the year, there is a little more time taken to issue fresh POs and then by the time you bill against those POs, the collections typically slips slightly into April what should have come in March. So therefore, typically in quarter four we have a slightly higher DSO compared to quarter three. So that has one impact. But I'm pleased to say that in this quarter four, we have improved our DSO by about eight days compared to quarter four of last year so effectively year-on-year, you would still see a strong improvement in cash collection. Second thing is that we have also because of the bank holidays and a few other things that impact the cash payout. We have paid for salaries in India, in this quarter. Of course, this doesn't impact P&L in any manner, but cash flow does get impacted. So, Q4 cash flows have been slightly lower than what we would like. But I'm very pleased to say that for the full year, we have had very robust cash flow generation. Our operating cash flow as percentage of net income is 137% and our free cash flow as percentage of net income is 119%. You would have seen that our cash net of debt has come down at the end of March and compared to December end, it was 5.2 billion in December end which is 3.6 billion at the end of March. And that is pretty much reflective of the buyback that we have completed of $1.3 billion in the course of quarter four. Overall, we have a strong balance sheet, a healthy P&L, and we look forward to FY' 22. We have guided for 2% to 4% as Thierry highlighted in his opening remarks as the constant currency exchange rates that are mentioned as part of our press release. We'll be very happy to take your questions from here.
Operator: Thank you very much. [Operator Instructions] The first question is from the line of Sudheer Guntupalli from ICICI Securities.
Sudheer Guntupalli: Jatin, just a clarification, METRO AG any change in the integration timelines. And after 2% to 4% guidance for June 2021, what is the contribution you're expecting from METRO?
Jatin Dalal: Sudheer, thanks for your question. We are not breaking out a specific deal or customer contribution to guidance, but certainly it's a deal where the large component of the ramp up -- principal component of ramp up is happening from first chapter.
Sudheer Guntupalli: Okay. So the ramp up [different] [ph] from purchasing?
Jatin Dalal: Yes.
Sudheer Guntupalli: Yes. Okay. And my second question is to Thierry, in terms of the deal wins, if you can add further color on the renewals and net no dues and what are these comes into, which areas are these comes into?
Thierry Delaporte: Sudheer so if I look at the performance or let's say the activity on the sales front in the organization. One we've mentioned the fact that, if you look at our top deals, our key accounts, our large accounts, if you like they are driving growth, they are growing faster than the average of the organization, which is what it should be. And so that's a reflection of the fact that in our existing account, we are expanding our position through URLs or through new URLs, what we are doing in these accounts is certainly, obviously, reinforcing our position. By expanding, leveraging the different solutions and offerings we have inside the organization, so increasing the number of our accounts that have more than one or two offerings and from Wipro supporting them. Besides that, we have had a very solid and strong performance in generation of new opportunities in accounts -- we don't have new accounts. And so I would say, frankly, you're right to be able to drive growth, you really need to walk on two legs, we always say you need hunters on one side, who are going after new accounts and unique to our farmers who are really growing existing relationship. And what we've seen over the last six months is that we've had some good wins driven from hunters in new accounts, but over the last few months, the acceleration now existing account has picked up as well. And so that's a reflection of the good activity in the market.
Sudheer Guntupalli: Yes. Thanks, Thierry. One last question from my side, it has been some time since you had put the organizational changes into effect. And we have seen a lot of leadership additions and changes over the past few months in the organization. So how do you think the employees of the company are taking these changes, in terms of the satisfaction levels, about the organizational changes, any color on that will be helpful?
Thierry Delaporte: Sudheer, if we can organize a call with about 25 employees in the organization really selected based on their birthday. So it's really people in the organization, oftentimes at junior levels, with whom you know, to get a feel, but also obviously connect and know them, but also get a feel for how things are perceived. And we are getting a lot of very good return on the direction taken. I think there's a great level of energy in the system of ambition, as well. And I would say of confidence in the organization so people that are being really warm to the change and to new faces. I would say we have also, obviously as you said we've on-boarded quite a significant number of senior leaders in our organization in very different roles. The Executive Committee level five new members have joined the team over the last three months. And I think what's happening is, it's really positive on one hand, they're very excited to join Wipro and get to know better the culture and the values of this organization, the spirit that makes it so special. And but they're also bringing a different perspective and things from -- different to those organization that they've worked with. And the way they are being welcomed by the Wipro organization is really good. I can tell you very pleased with the way those new people are integrating very rapidly and very actively in the organization.
Operator: The next question is from the line of Ryan Campbell from Wedbush.
Moshe Katri: It's Moshe Katri. Can you hear me?
Thierry Delaporte: Yes.
Moshe Katri: Couple of follow up questions here first, did you disclose the mix from digital during the quarter and the growth rates there?
Jatin Dalal: Moshe, we have not shared that number as part of the communication that we have done.
Thierry Delaporte: Yes. But let me take that one maybe. So, what we feel is that, I know that some other companies continue to report on what is digital or what's not. And what do we feel is that it's becoming a lot more and more blurred, frankly. And frankly, we are approaching percentages anyway where it's becoming the majority of the organization. So it's not really serving the way the evolution of technology works. So what we are doing is, we have picked more specific offerings that inside obviously the space around each dial-in cloud and so on to really drive high growth. Now, to give you a view on the cloud, the cloud business for us, it's about a quarter of the revenue of Wipro, that's growing double digits, high double digits, right? If you look at security's growing double digits. If you look at digital customer experience, this is growing double digits. So we see that grows everywhere. There is no doubt to your equation, if I tried to read, the question is, there is no doubt that the pandemic as accelerated the transition or the rotation, from, I would say, legacy solutions and offerings to digital and cloud and data. And that's been also one of the reason why we are getting an acceleration to our growth, frankly, because we are well positioned in this space.
Moshe Katri: Okay. So if I asked the question a bit differently, from your estimate, which part of the regular basis is not growing, or actually shrinking at this point?
Thierry Delaporte: What would be shrinking is, asset AV infrastructure business, that is not in the cloud that will be non-differentiated services, because by definition, there will be a cost pressure on this that would weigh on your revenue line. And those services are certainly being rapidly replaced by cloud data engineering, security and so on.
Moshe Katri: Okay. And then which part of the bookings for the quarter was actually from renewals? And maybe there's a way to look at this also from an annual perspective for the fiscal year, which part of bookings came from renewals versus new logos?
Thierry Delaporte: So, Jatin, you tell me if we have that, but what I can tell you is that the performance in bookings over the last six months does not come from, I would say a pickup of renewals and then usual pick up of renewals versus previous quarters, in fact, not the case. A lot of the growth we've seen is coming from new opportunities, we've driven either proactively in our existing account, or, these partners in other accounts. And so frankly, I would, tend to feel that at least I would say, and I would let you Jatin add. But I would say that there is not more, there's not a bigger proportion of the bookings in the 7.1 billion TCV sign that is coming from renewal than what we would have typically in the previous quarters.
Jatin Dalal: Absolutely, Thierry. I mean, you articulated correct, I mean, in terms of the texture of this. And only additional data point, Moshe is, we haven't broken 7.1, I mean, we are not broken down this overall TCV that we have booked, but we can talk about the $1.4 billion of large deal that we have signed and most of it is new and very little of renewal there. To give you a color of -- additional color as to how the business has come.
Moshe Katri: That's great. And then final question for Thierry, since you have announced the Capco transaction, did you have some more time maybe to look at it? Are you feeling more confident, less confident about the prospects here and any sort of incremental color will be helpful?
Thierry Delaporte: So, Lance Levy and I are connecting continuously, okay? We are talking. We are obviously patient to go through all the different steps to complete the process. We will, by the way, complete the process on time, within the timeframe that we had defined for it. The outlook -- I cannot, consider the deal is not done, I need to apply some reservation to the view, but it's positive, I can tell you it's positive. The trend is positive, the opportunities identified to happily connect the Capco and the Wipro sides of BFSI business on specific accounts. There's a long list. As you can imagine, over the last month, as we are talking to clients and connecting with them, they're absolutely expressing impatience to start to engage with the Capco team and start to really reflect on what it means and how we can leverage our new position, and/or capabilities to serve them more. And so, to your point, which was get a sense for the feeling for my level of confidence, one, I've never, no one I mean, we are, and I know, we shared our chairman shares this view as well from a strategy standpoint, this was absolutely the right thing to do. And second, I think the process leading to the completion of the deal is running well. And third, everything I've heard in terms of momentum and market impact at the moment on the Capco side is positive. So, hopefully soon more to come but it's exciting outlook for us.
Operator: The next question is from the line of Manik Taneja from JM Financial.
Manik Taneja: Yes. So my question is regarding the supply side environment, when you spoken about giving hikes to the senior staff from June. Just wanted to get some sense on the exact cycle for the overall staff for FY '22?
Thierry Delaporte: I'm sorry. I've not been able to understand your question. It's referenced the supply, the supply side, but can you repeat?
Manik Taneja: Sure. Thanks, Thierry. So my question is with regards to the retake cycle for the overall staff for FY '22. Any thoughts on when do we plan to roll out wage hikes for the entire staff? That's question number one. And the second question was with regards to pricing trends in the market? Just wanted to understand, are you seeing more progression towards scale based pricing now, given the fact that customers have got much more accustomed to offshore delivery? And do you think that will be a margin lever for the industry as a whole over the next few years?
Thierry Delaporte: Okay. So let me take the points, the question two, Saurabh, I'll give you the first one on the compensation evolution, the hikes in organization. So on the first one, which is the price evolution, so definitely, I think it was very clear at the beginning of the pandemic that the shock on the overall performance of a lot of companies in different industries, has led them to drive significant cost reduction program, even there. I don't think they have necessarily reduced the spend in IT. They've certainly asked for a discount and some super at that time, but that was more to help short-term. From [indiscernible] spend, I don't think there is going to be a slowdown in -- if anything is, in fact, there's going to be an increase of the span for technology over the next quarters. Pricing, I would say, what I would say is, I have seen times where there was a tremendous pressure on price. I don't think we are in this period, I have seen period where, but I've never seen a period where there is no normal pressure. So what would you say is, of course, if you are -- if you are working on solutions that are differentiated price, client is ready to pay the right price to get the right service, because transformation, the stake -- what is at stake in the transformation is a lot more than what they potentially may save a little bit in the technology spend. So I think at the end of the day, to your question, I would say, yes, there is a pressure on pricing, but not more than what we've seen for many, many years, frankly. And second is, when you own the right offerings, when you provide the right talent, the clients are willing to pay. The clients want to have the right talent. They want to have, the best capabilities you can offer and that is for sure a requirement. Saurabh you want to maybe complement that one and take the first one.
Saurabh Govil: Sure, Thierry. Thanks. Thanks, Thierry. So, Manik on your question on overall wage hikes for FY '22. Let me explain to you a bit in Q4, effective 1 January of this calendar year, we have given hikes to 80% of our employees -- the junior employees. And for the balance people, we are doing it effective 1 June, which is a normal cycle that in Q1. We are also doing a couple of other things. This is -- one is that we are doing bonuses for skill-based bonus across the organization for the key skills, which are hot skills in the market today, where you want to make sense for employees. That also you're doing and we will have across the board, across the company promotion cycle happening in June. So a number of interventions are happening for people. As regards the normal cycle for FY '22, we have just given it three months back, we will tell junior employees, we will take a call. As you know, we have called out that our supply chain will not be a constraint to manage the growth environment and an appropriate time we'll take a call when it is to be given. But our endeavor is to remain competitive and make sure we intent the right skill, critical and high skilled people in the organization. Hope that answers your question.
Manik Taneja: Saurabh, thank you for that response. I guess in the press conference, you mentioned that the wage hikes that were given by us in December were differentiated and ahead of industry. So just wanted to get some thoughts there?
Saurabh Govil: So yes, so what we have given people in the January cycle, we believe that our increases for -- the area of differentiated increases based on performance and criticality, second on skill, and whatever it is we have given to people are much more aggressive than what we've seen in the industry. That's the point I wanted to make, what we have given people in January.
Operator: The next question is from the line of the Dipesh Mehta from Emkay Global.
Dipesh Mehta: Thanks for the opportunity. Couple of questions, first of all, just want to get a sense about the overall rework and whether leadership team in place, because last quarter, you indicated by Q4 and we will be largely done. So if you can provide some update on it from a leadership team perspective and overall transition is largely behind us. Second question on the progress made on global account executives, so mPower account manager related. That is, I think one of the key focus areas of progress made so far and how we should look that playing out over next few quarters. And the last question is very different. I think you indicated some 7 billion [indiscernible] in take for fiscal. So is it compatible with 1.4 billion which we announced to in Q4 or I want to block that number?
Thierry Delaporte: Okay. Understood. So let me start on the first one, which is the organization. So yes, on January 1, we have rotated the organization from a global sector model with three dimension and about 27 P&Ls to an organization by geographies and sectors inside geographies with four P&Ls and two global business lines supporting those four P&Ls. So that's a much simpler organization that has employed implied a significant redesign of the organization the work on the processes, to work on the whole of everyone and obviously, realign all people, including leadership to this new model. We had set the objective to be ready by January 1. And what do we have said about at the last communication a quarter ago is that we would, we will consider that by the end of the quarter, we would broadly be done with the transition, if you like. [Indiscernible] is that we have shifted to the new model on January 1. And we've probably by the end of January, early February, we've been at pretty much full speed in the new model. So the speed I'm personally myself, I've been also very impressed by the way the organization as adjusted to this new model, and our leaders jumped into their new role and taken and the reason for the success in my mind is that one, there is a clear spirit of what we produce, people will want to work together and really share the successes and work together with our clients. Second, there is an absolute focus on the market. And from that standpoint, I think it's been a success. We've seen it in the sales performance month after month. And so as expected, a lot less people time spent on internal matters, less internal frictions between silos, less discussion about whose P&L this is, but a lot and maybe also, less or not, maybe, but also, less people focusing on operations, if you like and many more of our leaders in the market, connecting with clients and focusing on closing deals and delivering deals. So that's on the organization. My view is, we are mid of April, the organization change is behind us. Yes, there are even there are things that we need to adjust and grow. But that's absolutely normal. For us, the organization is up and running in the new setup and it's working. Your second point was on the account executive. So the global account executive, the GAE role that we developed as part of this new operating model on January 1. And I would say, certainly it's a journey, because for people, it is a change in the responsibility, in the scope of operations, they have a lot more accountability. There are more, accountable in front of the client, but also in front of the company, but then they are given more power to really try this accountability. And I would say the progresses are being really good. The fact that our accounts, our large accounts have been driving the growth of the organization in Q4 and we'll continue to do it in Q1, is a positive aspect of that. I want to say one thing also on this account executive on this GAE role. The reaction, the response from our clients has been very strong as well, very positive and that have definitely helped. Because when your clients are showing satisfaction in the way in the change we are implementing internally gives a lot more sense to the change and I guess, people are -- it's a lot easier to adjust to it. Third is the clarification on bookings understood your point. So the $7.1 billion is the TCV performance for H2. So that includes Q3, Q4 and indeed, this is the highest ever performance in TCV for Wipro in a semester. Okay, did I respond to all your questions?
Dipesh Mehta: Also one clarification on the last part, so large deal 1.2 billion and 1.4 billion and this 7.1 billion include everything.
Saurabh Govil: Yes. So 2.6 is large TCV and total is 7.1.
Dipesh Mehta: And this is only for H2, we are setting, we are not setting for full fiscal?
Saurabh Govil: That is right. This is only for H2.
Operator: The next question is from the line of Nitin Padmanabhan from Investec.
Nitin Padmanabhan: The first question is, will you be able to provide any tentative sort of assumptions that you might have in terms of when Capco and Ampion would sort of begin to revenue or when it would close?
Thierry Delaporte: We've said before the end of June and it will be before the end of June. So that before the end of the quarter, they will be part of the family, we are confident that they will be part of the family. This is regulation that's, right? So this is also a process where you have to go through different approval process in different countries, not something that we're running ourselves, but it will get completed before the end of the quarter.
Nitin Padmanabhan: And secondly, this one looks like, while looking at I think in the prior quarter, when we recorded $1.2 billion in deals. And I think Metro number was 700 million. You had suggested that, you said, sort of deal, when that sort of may not be replicable considering we had a large deal within that. But this time, you're actually sort of delivered 1.4 billion. Now going forward, based on the pipeline that you see, do you think what you've achieved in the first half from these large deals? Do you think that something we should sort of expect from Wipro going forward on a consistent basis, can see a pipeline and underlying momentum that would allow you to sort of at least be about billion consistently?
Thierry Delaporte: This is certainly the objective. This is certainly the objective. That's why we are building this large deal team across Wipro with very, very tall talents, who will really bring their experience [Technical Difficulty] large deals and help us track those opportunities of deals and build the deal pipeline. We have deals in the pipe. And so we may continue to close, several large ones, but it's still not the machine that we want to have that is producing systematically, a certain number of large deals per year. So I think we are still in the acceleration process, we are not there to the point where we say okay, the engineers working full speed and we will produce X number of deals per year. Okay, so that's the most -- that's the best answer I can give you. [Technical Difficulty]
Nitin Padmanabhan: So when you look at the deals that are out there, is cloud licensing incrementally becoming a larger proportion of deals versus what it was in the prior year?
Thierry Delaporte: Cloud overall, is about a quarter of the business of Wipro and is growing several times more than the average company – of the company, so it is going to get a large proportion of our business.
Nitin Padmanabhan: Sorry, apologies. I was referring to the cloud licensing revenue per se, which is actually split out into the product business. So just trying to understand going, if you look at deals out there, that are there in the pipeline is cloud licensing incrementally becoming a larger proportion of the deal structures versus what it was in the past.
Thierry Delaporte: It is but I will not differentiating the both numbers but we see that here.
Operator: The next question is from the line of Sandeep Shah from Equirus Securities.
Sandeep Shah: Just wanted to understand that post six months of new organizational level changes, closing three mega deals is impressive. So Thierry, just wanted to understand, is it largely the operational simplification, which is driving? Or is it something else in terms of some flexibility on contractual terms? Or other things, which is also driving this kind of mega deals wins?
Thierry Delaporte: No, no, no. I mean, it's hard to respond to your question, because we strategically changed our approach on legal terms or commercial terms, I don't think so I think it is probably more that we are engaging more proactively with our clients on larger opportunities, just maybe something that we didn't pay enough attention to in the past. And so it's really more the result of us connecting at multiple level with our clients, leveraging our expertise of the industry and our understanding of their landscape and priorities, and really be proactive in crafting these opportunities. That's portion to me, that's where I see the inflection term.
Sandeep Shah: So just a follow up, how is the mega deal pipeline has been shaping up for you, more proactive approach with the client as a whole? And is it resulting into a material increase in your pipeline, versus what it used to be a year? And just the last follow up question to Jatin, for the Capco sources of finance, any color? What proportion could be through debt? And what proportion could be through internal accruals?
Jatin Dalal: No. We are really looking at all options and we'll finalize what works best for us right now. So we have not yet finalized how what would be the proportion? That’s the current position.
Sandeep Shah: The first question if you can answer, yeah.
Thierry Delaporte: Yes. I'm getting there. So on the large deals, so, yes, as I said, we certainly see more large deals that or large opportunities than what, we were looking at in the pipeline in the last six or nine months. What is certainly clear, also is that we are having a lot more CXO engagements with our clients that -- probably we had before. And I think it's evident, it's obvious that, these large opportunities are generated in these CXO interactions. And so, yes, we are seeing more opportunities in the pipeline. Is the pipeline, big enough yet? On larges deals, for me, no, that's confusing. That's why we are building this big deal team. Because, I know by experience that we can really take it to the next level and turn it into a very systematic approach with a strong machine. But it's starting to produce some results because frankly, as you picked out, picked up, winning two very large deals in a row in two quarters have hadn't happened, ever, I guess, at least for many, many years in [indiscernible]. So, I think it's definitely the result of our focus on it. In our, my go-to-market activity.
Sandeep Shah: And if I can just pitch a last question Jatin on the margins entering FY 2022, some portion of wage hikes for seniors still pending for a FY 2021, which will come in FY '22 and on top of it there would be a FY '22 wage hikes. And on top of it there will be a consolidation of Capco correlated margin headwinds. So, can you give us some sustainable range which we can model for FY '22. So, that would be helpful.
Jatin Dalal: Yes, Sandeep. Let me just share that, there is obviously, investments that we need to make in talent and we spoke about it at length in phrase and here. We will also continue to make investment in solutions and frontline talent, creating world class GAEs for organizations, so, those are the investments we need to make. But we should be also, mindful of the some of the synergies and the benefits that the growth gets. And growth certainly provides operating leverage on fixed expenses. But more than that, it enables us to deploy our campus hire faster into projects, rotate our less experienced hires faster into new opportunities. So, it is going to be a -- as we go through FY '22, which would be certainly a very different year than what FY '21 has been. From our commentary standpoint, we do feel that what we had said at the time of our enlist, the range that we were there, then in which was around 19, 19.2 was something that we believe is sustainable. And there will be in addition, a dilution of Capco. And the impact on the year will depend on many things, including the date from which we consolidate them and sort of synergies that we are able to generate quickly on sales side, working together with Capco. So but we have spoken about the dilution that we will need to take for the first year, not from the profitability of Capco, but principally the investment that will make in terms of, management incentive plan, as well as some of the acquisition accounting related intangible charge that we'll have to take, put together, that 2% dilution is what we see. And our endeavor would be to obviously continue to work hard; you have seen the way we have executed in last few quarters. But right now, these are the two anchors that we have given in past and we would like to stay with those two anchors.
Sandeep Shah: So just a clarification, you are saying after Capco also our margin can be close to 19%.
Jatin Dalal: No, Sandeep. My point was that the range that we were operating in, in addition, we will have an impact of Capco.
Operator: Ladies and gentlemen, that was the last question. I now hand the conference over to Ms. Aparna Iyer for closing comments.
Aparna Iyer: Thank you all for joining the call today. In case, we couldn't take your questions due to time constraints, please feel free to reach out to the Investor Relations team. Have a nice day. Thank you and good night.
Operator: Thank you very much.
Thierry Delaporte: Thank you. Bye.
Operator: Ladies and gentlemen, on behalf of Wipro Limited that concludes this conference. We thank you all for joining us and you may now disconnect your lines.